Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Copper & Gold Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma'am.
Kathleen L. Quirk: Thank you, and good morning, everyone. Welcome to the Freeport-McMoRan Second Quarter 2013 Earnings Conference Call. We're pleased to be here today to report our first quarter of results following our oil and gas acquisitions, which were consummated in the second quarter. Our results were released earlier this morning, and a copy of the press release is available on our website at fcx.com. Our conference call today is being broadcast live on the Internet, and anyone may listen to the call by accessing our website home page and clicking on the webcast link for the conference call. As usual, we have several slides to supplement our comments this morning, and we'll be referring to the slides during the call. They're also accessible using our webcast link on fcx.com. In addition to analysts and investors, the financial press has been invited to listen to today's call, and a replay of the webcast will be available on our website later today. Before we begin our comments, we'd like to remind everyone that today's press release and certain of our comments on this call include forward-looking statements. We'd like to refer everyone to the cautionary language included in the press release and presentation materials and to the risk factors described in our SEC filings. On the call today is our Chairman of the Board, Jim Bob Moffett; Richard Adkerson, Vice Chairman, President and Chief Executive Officer; Jim Flores, Vice Chairman, President and Chief Executive Officer of our Freeport-McMoRan Oil & Gas subsidiary; and we've got a number of other executives with us today who will be available to answer any questions. I'll start by briefly summarizing the financial results, and then turn the call over to Richard, and he'll be reviewing performance and outlook, as well as Jim Bob and Jim Flores. As usual, after our remarks, we'll open the call for questions. FCX reported today net income attributable to common stock of $482 million or $0.49 per share in the second quarter of 2013. That compared to $710 million or $0.74 per share in the prior year quarter. Our results include the results of the wholly owned subsidiaries, Freeport-McMoRan Oil & Gas, following the acquisitions of PXP on May 31, 2013, and of McMoRan Exploration on June 3, 2013. Our second quarter results included a number of items associated with the transactions. We had $128 million gain to net income attributable to common stock of $0.13 per share. That reflected a gain on FCX's initial preferred stock investment and the subsequent acquisition of McMoRan. We had $183 million of net income attributable to common stock or $0.19 per share associated with net reductions and deferred tax liabilities and deferred tax asset valuation allowances. And those were net of charges of $61 million or $46 million to net income attributable common stock of $0.05 a share for transaction and related costs associated with the acquisitions. As you'll see in the release, the second quarter results also included unfavorable adjustments to our provisionally priced concentrate and cathode copper sales recognized in prior periods that totaled $55 million to net income or $0.06 per share. And we also had unfavorable adjustments of $35 million or $27 million to net income attributable to common stock, $0.03 per share related to oil and gas derivative instruments that were assumed in connection with the acquisitions. Our second quarter consolidated copper sales of 951 million pounds and 173,000 ounces of gold were lower than our April 2013 estimates of 1 billion pounds of copper and 295,000 ounces of gold, primarily reflecting lower production from Indonesia as a result of the temporary suspension of operations in mid-May. Our second quarter 2013 sales from the recently acquired Oil & Gas operations totaled 5 million barrels of oil equivalents for the period from June 1 through June 30, which included 3.0 million barrels of crude oil, 7.7 Bcf of natural gas and 0.3 million barrels of natural gas liquids. The copper price realization for the quarter was $3.17 per pound. That was lower than last year's second quarter of $3.53 per pound. For gold, we realized $1,322 per ounce in the second quarter compared to last year's second quarter of $1,588 per ounce. During June, the Brent crude oil prices averaged just over $103 per barrel, and our realized price for crude oil in June was $97.42 per barrel or about 94% of Brent crude. Excluding the impact of derivative instruments, the June 2003 (sic) [ 2013 ] average realized price for crude oil was $97.05. Our consolidated average unit net cash costs for our mining operations averaged $1.85 per pound of copper in the second quarter. It was higher than the year ago period of $1.49, primarily reflecting lower copper and gold volumes in Indonesia and anticipated higher mining rates in North America and also the impact of lower gold prices and net byproduct credit. The cash production cost for oil and gas averaged $16.58 per barrel of oil equivalent in June 2013. Operating cash flows during the quarter totaled $1 billion, including $235 million in working capital sources, and our capital expenditures totaled $1.2 billion in the quarter. We ended the June period with $21.2 billion in total debt, which included $700 million of fair value adjustments to the stated value of assumed debt and a consolidated cash position of $3.3 billion at the end of June. As previously reported, our Board of Directors declared a supplemental dividend of $1 per share, which was paid on July 1. The value of that dividend was $1 billion. That was in addition to our regularly -- regular quarterly dividend, which equates to $1.25 per share per annum. During the second quarter -- we'll be talking more about this throughout the call -- we took a number of actions to reduce or defer capital expenditures and other costs. We've got a progress report included in the materials, which we'll be talking more about. We're going to pursue additional capital cost reductions and divestitures as required to maintain our strong balance sheet while preserving our strong resource position and portfolio of assets with attractive long-term growth projects -- prospects. I'd now like to turn over the call to Richard.
Richard C. Adkerson: Thanks, Kathleen. The -- obviously, a very active quarter for us. We've got a lot to talk about today with the Oil & Gas acquisitions of McMoRan and PXP. We're going to focus on the strong margins, cash flows, near-term and long-term growth opportunities that we have from these assets and how that complements the outlook for our mining business going forward. You will see that we really had strong operating performance in North America, South America and in Africa, and we will be focusing on that. Our results were significantly affected, of course, by this tragic accident that we had on May 14 in our PTF operations in Papua. And we had significantly lower volumes of copper and gold as a result of that. And also, we were impacted by the fact that our -- a lot of our costs are fixed and continued during the period we were shut down. After a period of grief and attention to the families and to our workforce and into the community as a result of the loss of life in this accident, we worked on safety procedures in coordination with the government and returned to operations in the open pit in the mill in June 24, roughly 6 weeks after the accident and began underground mining operations on July 9, almost 2 months later. And so that had an impact, and we want to make sure you understand what that meaned. We did advance our development projects in the mining business at Tenke, Morenci, at Cerro Verde, Grasberg underground development. We progressed with the Lucius development in our Oil & Gas business, major discovery that's looking to come onstream in the near term. We did have a $1 a share supplemental dividend paid on July 1 that was in conjunction with completing the mergers to go along with our regular $1.25 annual dividend. Kathleen mentioned this, but you'll hear more about it today, about our commitment to achieve our debt reduction targets. Even with lower commodity prices, which we had a lot of volatility during the second quarter and lower prices at the end of the quarter, uncertainty about the future with the impact of the Grasberg deferral of operations, with changes in plans, we have a set of assets that's going to allow us to achieve this targeted debt reduction, and you'll be hearing about our commitment to do that. Before we get into the specifics on these matters, I'm going to turn the mic over for Jim Bob to make some comments.
James R. Moffett: Good morning. Our annual shareholders meeting, I thought you'd like to know that 15 of our directors nominated were elected, we've had the ratification of Ernst & Young, but advisory vote on say-on-pay did not receive a majority vote. Obviously, the board will continue to consider the shareholder feedback. We've been working with our [indiscernible] people and we look [indiscernible] and rewards discussed a new shareholder feedback. But suffice it to say, we'll make sure that we'll pay you competitive and timely shareholder return. The shareholder proposal advisory vote on independent Chairman received a majority of votes cast. And what this means is that the independent directors will consider how we deal with this. I should mention that the independent members of our board have already appointed Gerald Ford to the newly created position of Lead Independent Director. And we haven't had an independent director like we've elected, which should have been serving our board members. Gerald has been chosen by the board. He has an impeccable reputation in the finance community. Our board has been totally aware of our management goals and the board goals. So I think that we've addressed this, this advisory vote of independent chairman. The board believes this structure is in the best interest of the shareholders and addresses this so-called nonbinding advisory proposal. The bylaw amendment on shareholder right to call a special meeting with 15% received the majority of the votes cast. I won't spend any time on that, but you'll find that in our bylaws that in the state of Delaware, the 15% ownership adds several things that are appreciative and we'll get into that when the time comes. The environmental director and the board diversity did not receive a majority of the votes cast. On the recent performance, on the next slide, we thought you'd be interested to see that since we announced the deal in December, [indiscernible] copper, of course, [indiscernible] And look at the oil, 21% up, 5% natural gas on the indexes has a similar education. So we think this already starts to speak to the wisdom of having a more diversified asset base, including the Oil & Gas asset. One of the things on top of the performance is challenges by current prices. Remember, discoveries in copper are very rare. If you look at the recoverable copper reserves on Slide 6, you will notice that the Grasberg in '88 and Escondida in '79 have really been the 2 main discoveries. There have been no discoveries that make the grid in 2000. Most of the copper production [indiscernible] Escondida, Grasberg, and then the most recent, Chuquicamata in 1910, El Teniente in 1910; Los Bronces 1876; Norilsk in 1935; Morenci, 1870s. What this says is because the copper reserves were all [indiscernible] geology, that most of the reserves in the Rockies and Andes were found during the early prospecting days. So with the advent of the Oil & Gas program, as you'll hear from Jim, there's a tremendous potential for us to have major discovery potential. So not only do we have a more diversified base, we've been very fortunate. Since the acquisition of Phelps Dodge, we've been using our greenfields, of course, with the brownfields and discovered the equivalent of maybe Grasberg has been going on for almost 7 years. And as you will see, we continue to lead the greenfield opportunities [indiscernible] and the brownfields will be our main stake. We do now have the world-class opportunity to have some discoveries. Now on Page 7, I wanted to make sure that you know we've got into the company a mandate of our board, the office of the chairman, myself, Richard and Jim Flores. As you can see, we're all on the same page, and that's philosophically [indiscernible]. You'll hear from Richard and from Jim that we're dedicated to our goal of reducing our leverage, and we said that we would do it in 2016. But you're going to hear some comments. Certainly, we're -- as a result of more discussions with the board, we're looking at ways to reduce [indiscernible] before that date. And again, all of us are going to be working to expand our resources, take advantage of our existing resources and showing financial discipline and take advantage of this treasure trove of assets in which we find ourselves as we put these companies together. So with that, I'll turn the meeting back over to Richard, and I thank you. I'd be happy to hear some of the exciting stuff that we've been looking at as we look at this new asset base. Thank you. Richard?
Richard C. Adkerson: Thanks, Jim Bob. On the financial highlights page on Page 8, I'm not going to repeat what Kathleen reviewed with you at the start of the call, but I wanted to just point out the impact of the suspension of operations of PT-FI. You see that our volumes of 950 million pounds of copper, they were roughly -- that reflected the impact of having 125 million pounds of less production. With gold of 173, we had 125 million ounces less production of gold. So that is really what drove the shortfall in our performance, together with this factor that I mentioned that many of our costs at PT-FI are fixed. Now that works for us in a very positive way as volumes increase because we don't have increased costs that's commensurate with our prices. But it also had an effect this quarter of having our unit costs higher because of the fixed nature of our cost. This is further shown on Page 9. You can see in North America, in South America, in Africa, where we have our unit cost at the top of the page and our volumes at the bottom of the page, that those operations really performed strongly, both in terms of having a production achievement of our targets, our goals and control of our cost in today's environment. The numbers speak for themselves. The impact in Indonesia saw our unit costs rise significantly as a result of the lower volumes and the fixed nature of our cost. The Oil & Gas operations, and Jim will talk more to this in a few minutes, are presented in summary on Page 10. This only reflects 1 month of operations. We'll account for the Oil & Gas acquisitions prospectively going forward. It was only from June in this particular quarter. But I want to point out just how strong the volume -- the margins are in this business, looking at the unit revenue cost and the operation margin per BOE. Across the board, this again is a business that has very high operating margins, and that gives us a chance to focus on profitable growth and disciplined growth and achieve value creation for our company through these assets. Copper markets, some bullet points on Page 11. This was a very volatile quarter. It started out fairly strong, had a dip in price of significance early in the quarter. When some Chinese economic concerns came back, it bounced back. And then in June, when the U.S. bid talked about moderating their open market purchases of bonds and the purchasing number came out in China and growth was just marginally less, the price dropped off. These are macroeconomic events. There really hasn't been supported by fundamentals in the marketplace, which really haven't changed that much. China continues to remain the important demand driver in the business, consuming almost 40% of the world's copper and accounting for the growth in demand. And within China, fundamental copper demand is really strong. It's growing at 8% to 10% a year. The downstream business is strong, scrap is short, premiums are up. I'll just refer you to the analysts that follow the business, the -- that follow the business and you can substantiate that. But the prices are what they are because of markets. Sentiment in Europe remains weak. Our business in the U.S., supported by automobiles and a stronger construction, is relatively strong and longer-range supply challenges persist. But be that as it may, the copper price is what it is; we don't run our business on any near-term expectations of price. We're very confident about the long-term fundamentals of this marketplace. And what you'll see is we're responding to the lower prices and to the risk of that persist -- continuing in the future. And we're taking that with actions to reduce costs. We began that during the quarter in earnest. On Page 12, within our mining business, we undertook a project at looking at all of our capital spending projects and making decisions to defer costs or eliminate costs when we could do that without really disrupting our -- either our near-term at this point or our long-term growth opportunity. And we've had success with that. It's a list of items that just illustrates the breadth of scope that our team has done, led by Red and Mark and Dave Thornton and our whole team, to find items of where we could achieve this goal of conserving cash. And we aren't finished, but as we report today with where we are, we have capital reductions for the next 2 years of $1.4 billion, and that includes $400 million in the Oil & Gas business, which is going through a similar process of looking at their capital spending. And then looking at costs beyond capital, and we end up with a total of $1.9 million of deferrals -- $1 billion of deferrals over the next 2 years. Now that's one element and it's continuing. The other element is to look at our asset base and look for ways again of, as Jim Bob said, achieving this target of reaching our right balance sheet goals for debt in light of lower commodity prices and finding ways of potentially accelerating in achieving that goal from beyond the target of 2016. We've initiated plans to sell conventional oil and gas production on the shelf of the Gulf of Mexico, and that's a process that's started. We have a broad set of other assets that gives us many alternatives in terms of potential property sale or innovative structures to come up with ways of achieving this goal, and it is a commitment. It is a commitment and we're committed to do it, and we're committed to doing it in whatever environment we have to deal with. At the same time that we're going through this process, we're continuing to date with our brownfield development projects in the mining business. We had 3 major projects that were growth projects that we're targeting to add about 1 billion pounds of copper sales a year, which is a significant amount of volumes. We've completed the Tenke Fungurume Phase 2 project on time, on budget. The Morenci mill project is in progress. We've incurred about $600 million to date of our revised estimate of $1.6 billion to our interest, we have an 85% interest at Morenci. That's going very well, very high rate of return project and one that has a very quick payback because of significant volumes that come out of that project as we add on to the existing substantial operations at Morenci. At Cerro Verde, we commenced construction earlier this year. The plan is to complete that in 2016. We've incurred about $800 million of the $4.4 billion of good support from the government, the local community. And so the numbers that you see to date involve continuations of those projects. We have options of changing those decisions if market conditions warrant, but we can achieve this targeted debt reduction goal and do these projects at the same time. We're also continuing the underground development at PT-FI, which is necessary for us to be able to go forward with this very valuable operation beyond the exploration of mining and the open pit, which is -- continues to be expected by roughly the end of 2016. We did have this horrific accident that we talked about earlier on May 14, where we had a tunnel collapse in a training facility, and we had fatalities and injuries. This wasn't really a mining accident, it was apart from our mining operations. It was an incredibly horrific convergence of events that came together because of the geology of the rock and the influence of water and air on our ground support facilities, and unfortunately just happened just as we were having this training meeting. And then it was terrible, and all of our organization has responded in a caring and professional way about it. But we also undertook internally a special safety review of all of our operations, focusing on underground operations where people gather. We worked with people with the energy and mines ministry in Indonesia and an independent team they formed. And at the conclusion of that process, we were able to resume operations on June 24 in the open pit, in the mill. And on July 9 in the underground, we are now ramping up the underground operations. You can't just start those immediately at full-scale production, and that ramping up is progressing. In the quarter, we lost roughly 125 million pounds of copper and 125,000 ounces of gold. The full year impact will be greater than that. We estimate 230 million pounds of copper and 250,000 ounces of gold. That resource is still there. I mean, it's not going anywhere. We'll produce it in the future. But the impact for the year reflects a couple of factors: One is the time it takes to ramp up underground to get back to full production levels; plus, as you'll recall in the first quarter, we talked about how we were going to assess high-grade ore at the end of the year under our mine plans. Now some of that higher-grade ore will be pushed out into future years. We try -- we presented this slide, which we have shown for 2012 earlier on Page 16 to show just what the impact was. We show the -- we're showing the average of copper and gold production in prior years from 2002 to 2011. … and average for -- what our mine plan shows for 2014 to 2016, which will -- at that point, we will transfer from being a combination open pit underground operation to a full underground operation. If you can just see the significance of the volume that we've had, the low volumes we've had in 2012 and 2013 and how that translates in the chart on the far right to our unit cost, which averaged for PT-FI $0.13 a pound for the 2007, 2011 period, would actually be projected at a net credit. Going forward, all of this will depend on the price of gold. This is a $1,300 an ounce gold. So that illustrates the impact on current operations for that. Page 17 shows part of our cost-saving efforts. We've refocused our mining exploration expenditures, reducing about $55 million of cost. And the bulk of our spending is on our brownfield expansion of our orebodies. But we do have some greenfield spending, and that course is a greenfield discovery, is the best thing that's happened to a natural resource company. But our brownfield projects are projects that add a lot of value for us. I'm going to turn the mic over to Jim Flores, and Jim's going to be talking about our Oil & Gas activities.
James C. Flores: Good morning. Thank you, Richard. Looking at the Oil & Gas development activities first. We have several large areas, California, Eagle Ford Deepwater, Haynesville and also, the ultra-deep completions we'll talk about. In California, it's been a tremendous asset on the Oil & Gas business for a long period of time. The fields were discovered 100 years ago that they're producing at high rates and high margins for a long period of time. A lot of people don't realize that California's the third most productive state in the country, and it's got a tremendous oil and gas business. And the big thing it has for our company is a lot of free cash flow from a standpoint of very low maintenance capital to keep very high flow rates, and obviously, with our strong pricing, gives us big margins, as Richard highlighted earlier in his presentation. California will continue to get its ample amount of capital to maintain that production and look forward to a stable base going forward. The Eagle Ford is one of our newer assets. It's been developed in the last 5 years. It's had a tremendous growth rate because of the rig activity as we expanded from 2 to over 8 rigs over a period. We're now reducing that rig fleet and in the large cash flows out of our high oil price at LLS pricing in our Eastern Eagle Ford. We're in the premium position of the play called the heart of the watermill, we're in the Graven [ph] sequence that's got the thick ore-bearing part of the shale. And our wells continue to produce several thousand barrels a day as they come on. The near-term cash flow expansion will come at the peril of our rig count there. We'll be reducing our rig count going forward. And this is one of the areas we're able to save a lot of our CapEx savings, at the same point in time, maximizing the cash flow for the company. What you're seeing is we're taking advantage of the high oil prices in California and Eagle Ford to generate cash flow for the overall company. In the Deepwater, we've made a large effort there, obviously, on the backs of some of our non-operated activities like our Lucius project, which is operated by Anadarko. It's on time and on budget. And contrary to a lot of the highlights you've heard and some of the large projects around the Gulf and around the world, we've done an excellent job and we expect that spar to be on location this summer and we establish initial production in the second half of 2014. Everything continues to look just stellar on the Lucius project. Our large-scale infrastructure that we have in the Eastern part of the Gulf, the Holstein, Horn Mountain and Marlin, continue to reap benefits. We're getting very comfortable. We took over full operations, made first from the seller, allowed us to really weld our employees together and be able to look at all of the development projects. And the big growth opportunity we had there, tying back additional leases and additional production to that important infrastructure. Accordingly with that, we were very active in the last lease sale in March. We've done a lease sale, and we've now been awarded all 11 of our blocks at a recent lease sale, which will add several hundred million dollars of tieback opportunities to our Holstein platform. Our goals in the Deepwater Gulf of Mexico are to triple our oil production over the next 5 years, and we have the assets and we have the geology and the reserves to do it. It's a matter of execution. On the Haynesville, one of the more significant gas fields in the world, much less United States, we have over 5 Tcf of gas attributable to our interest there in various forms. All of our acreage there has been drilled, then plumbed. It's maintained under or held by production rights there. We have not only significant Haynesville production reserves, but we also have shallower mostly [ph] reserves. And Haynesville is going to be the cornerstone of our gas business for a long, long time to come. And as we continue to watch gas prices and are bullish the second half of this decade, we think Haynesville is going to be an important part of our expanding gas business. Moving on to our gas business. Our ultra-deep completions going forward, talking about that program. We're going to be active in completing the Davy Jones #2 well and also the Blackbeard West #1 well, and of course, Lineham Creek #1 well that Chevron [ph] is continuing to test at this point in time geologically and with the drill bit and with the coring opportunities to get all the data we need to put together a successful completion there. So we look for an active production sequence on the ultra-deep with all the completions that we're going to be doing as we get on those early in 2014 toward getting some revenues out to the royalty owners by the end of 2014. That's our goal. All right? At the same point in time, exploration-wise, we're drilling our Lomond North well. It's moving toward the lower tertiary section, which is the primary objective and -- so stay tuned on that as those results become available. We have a large exploratory inventory here. One of our goals as a company is to look at ways of managing our exploration expense and bringing in joint venture partners to help us participate. We have a couple of exciting opportunities. They're all very large, and we're going to continue to manage that growth in accordance what Richard talked about being disciplined and focused on returns and make sure that our exploration spending supports all of those activities and adds value every single day. Speaking of adding value from the exploration standpoint, our Phobos well, which we were basically carried on our Phobos well to our Plains offshore structure with our great partner, EIG, there, we've found 250 feet of play in a nice column over 5,000- to 7,000-acre structure with Anadarko and Exxon. And this is just south of our Lucius infrastructure, so we're highly excited about the commercial aspects of Phobos and look forward to offsetting that well either late next year -- or late this year or sometime next year, in 2014. So the Oil & Gas business, even though it's a couple of months old as far as Freeport-McMoRan is concerned, it's off and running, and we've hit the ground with a lot of great support from management and the board and look forward to being a big part of the story going forward.
Richard C. Adkerson: Thanks, Jim. Let's go to Slide 20, and we'll update our outlook for the year. Our current sales outlook is for 4.1 billion pounds of copper. That reflects roughly 200 million pounds lower than we were in the first quarter for the reasons we talked about at Grasberg. Gold at 1.1 million ounces, molybdenum at 92 million pounds, oil at 35 million barrels equivalent, that's 65% oil. For those -- I know some of you are very familiar with oil and gas business and others less so, be careful with these barrels of equivalent. Because of tradition and some SEC rules, oil and gas is equated at 6:1 even though gas is selling today at $3.60 and oil at $110 a barrel. 65% of these equivalent barrels are oil, but oil represents over 90% or roughly 90% of the revenues. Unit costs are projected at $1,300 gold at $1.58 a pound, $19 per barrels of equivalent. Operating cash flows, we're now looking at $3.15 copper at being at $5.8 billion. Each $0.10 change in copper for the remainder of the year represents roughly $200 million. And capital expenditures of $5.5 billion, which is -- includes $4.4 billion from the mining business and $1.5 billion from the Oil & Gas business. Our production profile, as we look forward through the -- for the end of the year and into 2015, shows our growth from completing our copper expansion projects, going from the 4 billion pound level to 5 billion pound level. The gold sales reflects the recovery of Grasberg and the access to higher-grade ore because of our mine sequencing. Molybdenum sales reflect the operations of our byproduct from our copper mines, as well as Henderson and Climax. And the Oil & Gas sales outlook reflects the growth that Jim reviewed with you earlier. From a unit production cost level, we expect to continue the positive performance on volumes and growth in our mines in North America, South America, as well as Africa. And then with the ramp-up of operations in Indonesia, we're looking at $1,300 gold of getting annual costs down to around $1.50 level, and then with significant improvements in that as we go forward into 2014. Page 23 shows the cash flow generating capacity of our company. EBITDA charts are shown on the top, and operating cash flows, which is net of cash taxes and cash interest, is shown at the bottom. We show this at varying prices, ranging for copper prices from $3 to $4, with $13 gold, $10 molybdenum and $100 oil. And you can see within that range, EBITDA's ranging from $10 billion to $15 billion a year for 2014, 2015 average; operating cash flows at $8 billion to $12 billion; and then in 2016, when we have the benefit of these higher volumes, you see 40% increases in those numbers, with 2016 having EBITDA of $15 billion to $18 billion and operating cash flows of $12 billion to $16 billion. This shows the strength of these assets and how much cash they can generate. Our sensitivity that we present each year is shown on -- each quarter is shown on Page 24. On an annual basis, each $0.10 change in copper is $330 million of operating cash flows. You can see molybdenum and gold variations, our oil sales variations, and then we've shown oil sale -- oil price variations net of our consumption of diesel within our mining operations. So that's for your use in terms of your modeling purposes. Our revised capital expenditures are presented on Page 24. You can see that the mining capital has been reduced in 2013 and 2014 from previous levels, and some of those projects have been deferred to 2015. We are continuing to review those, and we will be responsive to market conditions in terms of how we spend capital and how we manage ourselves before in light of this really strong commitment to balance sheet management, which we show on Page 25. Our total debt at June 30 was $20,500,000,000, just point out that it includes $700 million mark-to-market for some Plains debt. That gets amortized over time before its maturity. Maturity doesn't change. This is strictly just an accounting recording thing. This excludes here, on this chart, of the fair value adjustments. Total debt, net of cash, and most of that cash will be used to fund capital expenditures going forward, is $17 billion. We have this commitment by 2016 to reduce this debt roughly to $12 billion level through strong -- using our cash flows, using capital operating cost discipline. We have a large resource base. We've started a divestiture process. We're considering other opportunities. We're going to respond to market conditions. That's the mandate of our board, and we have a number of ways to achieve that even if we have to face a period of low copper prices. We also have some opportunities to refinance our balance sheet and to repay or refinance higher cost debt. We're going to be looking at market opportunities and the right time to do that. At the end of the day, our financial policy remains the same, having a strong balance sheet, which we and our board have concluded as necessary and appropriate to manage this big resource base, so we can take advantage of it to create shareholder value. And we have these targeted debt reductions that we're going to achieve over the next 3 years, but we believe we can do it sooner than later. We're going to invest in projects in a disciplined way and have strong financial returns. Our plan involves a commitment to our current dividend level of $1.25 per share. The board will, as always, review financial policy going forward and continue the Freeport long-standing tradition of looking to maximize shareholder value. We have a strong and focused organization. As Jim Bob said, we're all on the same page in terms of looking at how we run this business for creating shareholder value. We're going to focus on execution, operational excellence, achieving production cost, managing costs and capital management and invest for returns, protect the balance sheet and our dividend, and that's what we are telling you today that our commitment is too. And with that, Regina, we'll open the phone for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tony Rizzuto with Cowen and Company.
Anthony B. Rizzuto - Cowen Securities LLC, Research Division: I was very happy to see some spending restraint. But I'm a bit surprised to see a little bit -- not to see, a little bit slower approach at Cerro Verde. And I was wondering if you just go through the thought process again and elaborate a little bit as to why that project, why it's basically not touched here in terms of a little bit slower approach going forward.
Richard C. Adkerson: Yes, Tony. Tony raises a good point, just so everyone's aware of it. We have this project at Cerro Verde that we've been working on now for a number of years. We suspended it in '08, '09, started in earnest in 2010. We own the rights to this resource because of our existing operations. So it is a project that, from an ownership standpoint, would not be affected if we decided to defer it. And that is an option for us going forward. There are several factors that lead us to want to continue with this project so long as we can achieve our balance sheet management through other means. One of those has to do with the very positive relationships that we've developed with the local community and with the central government in Peru. As all of you -- all of the mining industry know, that's really unusual for major projects in Peru, where there gets to be competition often around water rights, often around community issues, and there's opposition in many cases and controversy with projects. Our team has done a great job in positioning this project to date where we haven't had those issues. We've worked with the city of Arequipa, the nearby city of Arequipa, second-largest city in Peru, where we've developed a positive deal by providing that city of 1 million-plus people with freshwater system. We're accessing water for our expansion through a wastewater collection and processing system, where previously the city was just dumping wastewater into the river. Now it will be collected, treated and we'll have access to water. We have negotiated a new financial tax royalty stability agreement that's in place. A deferral would result in us having to give up that stability agreement and go back at some future date to deal with it. So there's obviously also cost to mobilization -- demobilization. You add all of that up, and with the other alternatives that we have of achieving our goals for this debt reduction, and also in view of our long-term positive view about the copper market, we are currently have our plans of continuing that project but noting that it is an alternative available to us if market conditions are such that we need to act on it.
Anthony B. Rizzuto - Cowen Securities LLC, Research Division: All right, Richard. And if I could just have a follow-up. So the timing of the underground development in Indonesia, has that been pushed out a little bit because of the unfortunate incident there? And just to follow up there and -- how is that going to affect -- you're talking about the transition to 100% underground in kind of that 2016, 2017 timeframe. How should we think about that now?
Richard C. Adkerson: Well, the -- our work in the underground development was interrupted for a period of time as a result of the accident. This is one area of our operations that throughout the strike and the labor issues of 2011, 2012, progressed very well. We have a great underground development team that Mark leads and our guys on the ground lead. And that was really -- that project was really, in many ways, going ahead of schedule for us. And so while this does represent a period of time where we had to divert attention away from it and we suspended operations, we don't feel that we are significantly off schedule for meeting our targets. Now as we get down to the last period of time of mining in the pit and so forth, there's likely to be changes as we try look for ways of maximizing the ore body. But at this point, we feel we'll be prepared to transition to underground when the time is right for just for information purposes. I know, Tony, you're well familiar with this. We've been mining -- we've been block caving since the early 1980s at Grasberg in a successful way. In our current full operating mode there, the underground operations provide more than 1/3 of the throughput to our mill and through our DOZ mine. We are also expanding that ore body at depth with a Deep MLZ zone, which is scheduled really to start in 2015. And so all of that gives us a lot of confidence in our ability to make this transition in an effective way. And we're going to be prepared for it. Mark, do you have...
Mark J. Johnson: That's correct. We still show Deep MLZ starting up in early 2015. The Grasberg Block Cave is still on schedule to be ready for us at the end of the pit. We did have some float in the schedule between the end of the pit and the start of the block cave, about 6 months. As Richard said, prior to this incident, we were exceeding our development meters. Our -- as we got the okay to start back up in those work areas, we really picked up without any issue. So we're optimistic that we'll be ready for those projects to start up on time.
Richard C. Adkerson: And I'll just point everybody to Slide 42 in your reference slides, which gives you a schedule of how this fits together.
Operator: Your next question comes from the line of Jorge Beristain with Deutsche Bank.
Jorge M. Beristain - Deutsche Bank AG, Research Division: It's Jorge with DB. Just a quick question, maybe this is for Jim Flores. I wanted to understand the last guidance that was published before the deal was consummated was from December, and that showed about an oil and gas equivalent graph there showing 78 million barrels of oil equivalent for 2014 and 94 million for 2015. Those numbers have been pared back significantly to an average of roughly 60 million for both of those years. I do understand that some of this maybe just dropping out the ultra-deep stuff. But even on an apples-to-apples basis, it would seem that you're cutting your implied BOE guidance there by about 12% on average for 2014 and '15. And I just wanted to understand what was driving that.
James C. Flores: Jorge, there has been a modification of the expectations. Obviously, we've reduced CapEx about 20%. What the change there is really reduce the production growth rate at the Eagle Ford from a 15% growth rate to a 20% decline rate. But we saved $400 million of CapEx -- $300 million of CapEx there specifically, and we generated $300 million of free cash flow. So a $600 million swing in free cash flow. And then these low copper price environments, it's one of the things when you have $110 Brent oil, or you can get -- you can be a cash flow contributor. You saw it in the flexibility of our assets there. The leases are all owned by us, held by production. We can ramp back up the drilling and ramp back up the production, but we thought it was prudent from a standpoint facing debt reductions and low copper prices to generate free cash flow. So that's one area that happened. Additionally, the scheduling of equipment and completions in the ultra-deep, as you mentioned right there, was another area. And then the third area is the Deepwater Gulf of Mexico scheduling has been accelerated. And by -- what I mean by accelerated, we have 3 drill ships planned to be in the Gulf of Mexico next year drilling wells on all of our properties. That requires us to accelerate the development of the tieback facilities to our main production facilities. And when you do that, it takes -- there's a bit of construction time in each one of those facilities, somewhere between 45 and 60 days. Under the accelerated development plan, which will pay huge dividends in 2015 and 2016. 2014, however, we have scheduled 3 major platform modification periods of 60 days each, which all hit in the same year, which have the effect of reducing volumes during that year, but instead of having it spread out over the 3 years during that earlier forecast. So when you amplify that shutdown, which is basically a positive long term because it allows us to bring in all the additional production and meet those goals of triple our production out in the Gulf of Mexico on the oil side and the gas side in the next 5 years, it's unfortunate from a modeling perspective. But I don't think it's just a framework between the Eagle Ford, the ultra-deep and the scheduling in the Deepwater while we've modified our volume. However, we've been able to maintain our free cash flow because of the modifications in CapEx.
Jorge M. Beristain - Deutsche Bank AG, Research Division: And Jim, sorry, is the idea of not bringing forward the Eagle Ford cash flow to run, as you're saying, to save cash flow, to contribute something up to the Freeport holding company to help in the deleveraging process? Or are you still standing by the idea that the Oil & Gas assets, broadly speaking, are free cash flow neutral to the deleveraging process?
James C. Flores: Both. We're going to be sending cash flow up to the corporation. That's depending on the oil price. Our oil prices are significantly stronger than the $100 a barrel price in our models and so forth. That can mean every $10 of additional $350 million to $400 million of additional cash flow. At least it's going to be funding its own CapEx when you talk about reducing CapEx and reducing volumes. In the strong price environment, we can do that, and that's not always the case, but that's what's going to happen going forward. We will cover our costs.
Jorge M. Beristain - Deutsche Bank AG, Research Division: Great. And sorry, if I could just have a follow-up question with Richard, just on the Indonesian side of the fence. All these changes that again, the Indo government continues to propose in terms of the banning of concentrate and raw material exports out of the country. Can you again confirm that you are unaffected by these potential regulatory changes there?
Richard C. Adkerson: We have under our contract of work, which is a, as you know, Jorge, but just for -- to make sure that I say this. The contract has -- was adopted by the Indonesian government, has the status of law. And under that contract, it provides us the right to export our concentrates. In 2009, the government passed a law, which restrict exports of ore. The Ministry of Energy and Mineral Resources has adopted a regulation that extends that to concentrates. And that's where you hear these comments that come out of Indonesia, which, as a democratic society, you hear a lot of comments as you do here in the press. So we are working in connection with seeking an extension of our contract, which we have the right to have that extension, requires government approval to find ways of working with the government cooperatively to reach a mutually satisfactory answer to this. We have advised the government that we will work with any entities that seeks to develop smelters. We have a commitment to supporting businesses in Indonesia but doing that in a way that protects the interest of our shareholders. And we are continuing those discussions. Recently, government officials have targeted completing our and others' contracts of work discussions this year, and we're prepared to do that and hopeful that, that will be successful and from a timing standpoint. But we have confidence, absolute confidence about our ability to continue to operate as evidenced by the investments we're making in our underground mines, which will be generating their cash flows essentially after 2021 when -- which is the extension period.
Operator: Your next question comes from the line of Sal Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: How is it going with the labor negotiations? You mentioned in the press release that it has restarted. I was just wondering if it's -- you expect it to go to the end? Or do you think there'll be a conclusion before the contract is finished in September -- in November, I'm sorry?
Richard C. Adkerson: Okay. Thank you, Sal. The labor negotiations had just had their kick-off meeting in early May right before we had the accident on May 14. And so it was suspended until the last couple of weeks when we restarted our operations and the preliminary discussions have begun. There is a recognition by all interested parties, including the union, our management, the local community, the central government, that a strike would not be in anybody's interest. And so we start out from that standpoint. We had a framework for dealing with wage adjustments that was part of our agreement in 2011 in the last negotiations where we had the extended strike. We're certainly prepared to work with the union on a timely basis. The union has made public comments within the last week that they're targeting completing the negotiations quickly. And so that's the goal right now. I mean, so we will just continue to work and report to you as that progresses, but that's the framework that we're really starting the discussions right now.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And one more thing on the underground operation. The ramp-up is going to be another year, looks like middle of 2014 you mentioned in the press release. I was just wondering is it you're being more cautious or is it normal that it takes that long from about 40,000 tons per day to 80,000 per ton, which is the optimal level you want to be.
Richard C. Adkerson: Well, Sal, I know that you've watched us for a long time, you watched us develop the DOZ initially, and you saw just the nature and block caving operations is that ramp-ups takes time. We're working on it as quickly as we can safely do it. We certainly hope to be able to do it before the middle of next year. And we're making progress now in achieving that. As always, our guys, as we set these plans on a basis that we have confidence that we can achieve them. And then we work on trying to maximize those plans as we go forward, and we've had a lot of success doing that historically. And so we will -- we're tackling it. We're going at it full stream -- full steam on a safe basis, and I think we have a good chance of beating it. Mark?
Mark J. Johnson: That's right. We have a number of objectives in the DOZ, just not tonnage. We've got a very high-grade section of the orebodies that's in the skarn. We balance that with the diorites that are higher in gold. And so our schedules, although tonnage is one of the measures, we have a lot of things that we're managing. We're going at it to maximize the value of DOZ. We've got some ongoing repairs that were there pre-existing the incident, and we're picking up, and we're making good progress on that. The ramp-up to date has gone or exceeded what we'd expected just for these last couple of weeks.
Operator: Your next question comes from the line of Curt Woodworth with Nomura.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Richard, I just wondered if you can kind of talk more broadly about how you see the copper business in several years in terms of once you ramp these expansions and transition in the underground, do you see any more meaningful shifts in the unit cost profile of the business? And also what do you think an appropriate level of maintenance spending for the copper business will look like at that time?
Richard C. Adkerson: Thanks. We're focused on these expansion projects, and the expansion in Cerro Verde and Morenci is basically coming in on unit cost that's consistent with our current operations. At Tenke, that expansion also is unit cost is consistent with current operations. We keep working -- because of that high grades of that ore there, we believe we have the opportunity to drive the unit cost down. A lot of our costs are dealt with -- deal with logistics and power that are -- where we have cheap power now, but we have power supply concerns. And all of that just ties into doing business in that particular country, in that particular location. So we're focused on that. At Grasberg, transition to the underground period will allow that mine to continue as a world-class mine from a cost -- unit cost standpoint. And that all depend on the price of fuel, the price of gold and so forth, but it'll be high volumes, low cost. Then if you look beyond that, in the longer-range future for Freeport, is we have this enormous reserve base and resource base. We'll reach production levels of about 5 billion pounds a year and at $2 copper, we have proved and probable reserves of in excess of 120 billion or 100 billion pounds. And then we have resources beyond that of equivalent amounts of identified copper with our existing mines. Over half of that is in the United States, and it's typical of our current production, relatively low-grade, large resources, but we see those costs coming in consistent with the level of our current operations. So you need to -- just like I was talking about in the oil and gas business, you need to look at gas and oil separately. In our business, you need to look at Indonesia as one set of assets, Africa as one set of assets with tremendous growth opportunities, very high grades. And then in Americas, kind of the standard of what the global copper industry has available to it is resources that have relatively low grades. The thing that we have as a benefit in relation to the rest of the industry is ours are brownfield expansions. And the projects that are challenging are greenfield expansion with low grades and big infrastructure development, lots of pre-stripping and those sorts of things, which we don't have with our operations. So we think with the positive copper movement going forward for a very long period of time, we will have a series of growth opportunities that take time, take permitting, take resources. That's why copper prices are above and likely to continue to be above production cost.
Curtis Rogers Woodworth - Nomura Securities Co. Ltd., Research Division: Great. And one follow-up if I may. Can you kind of characterize the incremental CapEx or savings opportunities? Is that going to be somewhat market dependent where if the copper price were to remain weak, then you would look to accelerate those types of plans? Or do you think that -- you had $1.9 billion you've announced, just kind of the first layer of that process, and there's incremental savings opportunities you're going to look to pursue regardless of the market climate over the next 12 to 18 months?
Richard C. Adkerson: Well, I can't say enough the way Red and his team have approached this. I mean, we saw the situation in the market volatility develop in June. We saw the need to reduce our debt, and our guys went at it in a very disciplined and quick way just like we did in 2008, 2009. We don't see this situation as anywhere near the challenges or the fears of 2008, 2009. But we started this, as I said, as a first step. It's a continuing process, and we'll be looking at our business in mining and oil and gas with the continuation of doing it. And of course, if market conditions deteriorate, we'll have to do more, and we have the ability to do more both from cost reduction activities and then from being innovative in the way that we extract value out of this broad set of assets. And that could lead to lots of situations, joint venture arrangements in both sets of assets. We looked at MLP opportunities. We've looked at other types of kind of financial, engineering type things. We just have a lot of options to do it. The message that all of us wanting to get across to you today is the message our board has given us. And I know we read -- we've read some skepticism about it because of low copper prices, but we are committed to maintain the strong balance sheet, and we've got ways of doing it.
Operator: Your next question comes from the line of Adam Duarte with Omega Advisors.
Adam Duarte: On the potential oil and gas asset sale, can you give us a little more detail around the assets, things like commodity mix and reserves associated with the asset and CapEx? And the second question is conceptually speaking, how did you arrive at this asset as being appropriate for sale?
James C. Flores: Adam, it's Jim. We're right at the beginning of our early stages of the sales process, and we've signed confidentiality agreements with buyers and the process of getting that process started. So I don't want to give a whole lot of -- I don't want to expound on a bunch of details that are in that process. But what we're looking for is somewhere between $500 million and $700 million worth of capital out of the Gulf of Mexico shelf business. The Gulf of Mexico shelf conventional is an area that is not a primary growth target for our company. There's other companies out there that see opportunities out there and the risk profile that more fits their needs, as Richard talked about and Jim Bob has also expounded on is the large diversity of assets we have and growth opportunities. But the thing to really to focus on is the high quality of our asset base and the high quality of the growth opportunities that we're going to prune off the ones that don't fit our profile. And so that's basically what we do. And in aspects like the Gulf of Mexico, which is so dynamic, we do have a large position there on the shelf in the Gulf of Mexico and also in the Gulf Coast as well as deepwater. So the process of trimming back in an area and then also reestablishing based on seismic interpretation and so forth is always a possibility. So this was basically one of the easiest places to reallocate our manpower resources to our existing assets and still it raises significant amount of capital and a business that just doesn't fit the new profile of Freeport-McMoRan.
Adam Duarte: So is it safe to say that sort of in the hierarchy of criteria of growth, when you look at your oil and gas assets growth is -- or the ability to achieve, growth is very, very high in the list?
James C. Flores: Well, it's 2 forms. In this large framework of Freeport, you can see where free cash flow is becoming a big aspect for the oil and gas business not only -- we've always focused on it and our business, but we've always used it as reinvestment capital. There's a return on assets, a return on capital structure here at Freeport that we have to adjust to and blend to, and therefore, some of our assets like California and Eagle Ford and so forth that we can find ways to maximize out of these [ph] structures. Like Richard talked about, we're looking at -- seriously looking at an MLP structure that makes -- that would make a lot of sense when we're trading 4.5x cash flow when you can start trading at an 8x cash flow of your assets that qualify. Of all those things, this new family of assets here at Freeport between the copper, oil and gas and gold, has given us an opportunity to be more flexible in structure and try to frame out that value and also accelerate not only the growth of our volumetric assets like the deepwater and the ultra-deep and assets like that, but also some of our free cash flowing assets, be able to rein out value there through the innovative MLP structure. So as we continue to research this and start thinking about putting it together and think about it. Even if that's on the copper side, I think it's going to be exciting days ahead of real value realization. We don't need to create a lot of value. We need to get realized for the value we've already created in these assets, especially at these oil prices.
Richard C. Adkerson: And I'll just say, just like I was talking about the growth from the resource base in mining, these growth opportunities in the deepwater from these big structures and the undeveloped, unexploited nature of the resource there that we'll now have access to, the ultra-deep exploration leverage that we have there, this really significant position in Haynesville and the U.S. natural gas business, which we all believe has the opportunity to have a lot of value down the road. As we deal with this near-term directive to reduce debt, we've all got our eyes on the long-term ability to grow in across our set of businesses.
James C. Flores: Just for everybody, remember the analyst day presentation. Those were not exploratory opportunities. We have a long list of development opportunities. We're -- our cup runneth over on growth opportunities and the aspect of present value and those in today's market and also our -- of the reserves that aren't going to grow is one of the high priorities especially in this deleveraging market. So we're totally in sync on all of these.
Operator: Your next question comes from the line of Oscar Cabrera with Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Let me just start, Richard, the -- a clarification, please. During the analyst day, you mentioned CapEx and divestments and savings of about $1.5 billion. So are the asset sales in addition to the $1.9 billion you're presenting now?
Richard C. Adkerson: Yes.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Yes. Okay, that's easy. Next, would it be possible to provide us with color on -- as to the oil and gas capital expenditures? So what is the percentage of -- how much is being allocated to each one of the regions?
Richard C. Adkerson: In each one of the regions. Slide 24 shows the aggregate oil and gas capital expenditures.
Kathleen L. Quirk: There's also, Oscar -- this is Kathleen -- in the press release on Page 13 shows what we incurred in June and what the outlook looks like for the second half of the year, which was $1.3 billion in total, $400 million for the deepwater, similar amount in Eagle Ford and $200 million in the ultra-deep.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Just trying -- okay. Now just trying -- and Richard, I'm just trying to assess how much, assuming [ph] Jim talked about the decline in CapEx in the Eagle Ford and wanted to assess how much capital he's been putting for each one of those. I can check back with you if that's easier.
Richard C. Adkerson: Okay, good, but that's -- for everybody's purposes, look at that, and Oscar, give us a call, and we'll follow up with you on it.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Great. And then...
James C. Flores: Oscar, just Eagle Ford specific, we're cutting -- we're going from about $600 million of CapEx in the Eagle Ford down to about $300 million of CapEx, Eagle Ford specific. So if that helps you in the meantime.
Richard C. Adkerson: And we're maintaining capital expenditure in California to keep production volumes up and then...
James C. Flores: Accelerate the deepwater today.
Richard C. Adkerson: The deepwater is where we have the chance of really having major incremental [indiscernible] to create shareholder value, and that's the focus for future growth near term and longer term.
Oscar Cabrera - BofA Merrill Lynch, Research Division: And similarly, with respect to operating costs, you give us the global $19 a barrel. Would it be possible to on a later date, I don't know [indiscernible], just to get a segmentation of the -- on the different areas of oil and gas production?
Kathleen L. Quirk: There's a slide, Oscar, in the back in reference slides, which takes you through that. Just looking for the number here. I think it's 31. It shows you by region what the operating cost profile looks like.
Operator: Your next question comes from the line of John Tumazos with John Tumazos Very Independent Research.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: As it relates to the ultra-deep gas, could you explain how and when you'll decide to double up versus fold your cards for the big winners and losers and specifically the Davy Jones 1 and 2? And I'm not -- by no means do -- please don't misunderstand me that it's a bad idea. I just think that heat and pressure and temperature varies greatly from spot to spot, so some are going to be easier to complete and others won't. Specifically last month, when you described the 30,000 feet to Davy Jones drill muds solidifying, it almost sounded like the pressure and temperature is like a rift kiln [ph], and frac-ing lends itself to sedimentary layers of shale as opposed to bricks. So that's kind of my thought process. You know how the Comstock in the 1870s, the miners took ice baths every 30 minutes because it was so hot. In other places, it's not like that, that conditions will vary from spot to spot.
James R. Moffett: John, let me say that's why we've been waiting on the results on grounds like Lomond North at Davy Jones. We're waiting on the data from Lineham Creek. We're looking at all of that. And we're also looking at the deepwater. We had some new information. We have the so-called inboard, outboard cost. And what we're finding out there, the sedimentary character of the rock changed significantly as you go from the southern end of the basin to the middle of the basin called inboard, outboard. We're going to have that same thing. And as we go onshore, as we tried to explain to you, we're in shallower depths, and our temperature's going down. Our pressure is going down. Well, as far as north [ph] solidifying bricks and all that, it is not near as eccentric as you described it. So -- but the answer is, as I've said to you before and made an example, if you look at the gestures and then try to [ph] -- if you take them to 4 bore holes that we have to the real cost on the shelf and onshore, that covers up [ph] less than 1/4 of your debt. And we're trying to figure out 200 square mile of area onshore and 200 square mile area on the shale. We're going to get a lot of information. But the sensitivity that you're talking about, that's all part of trying to pick the sweet spot every play and exploration whether it's a shale play or the ultra-deep or the deepwater has a sweet spot. And then we hear an update now on how we're going to be able to that.
Operator: Your next question will come from the line of Paretosh Misra with Morgan Stanley.
Paretosh Misra - Morgan Stanley, Research Division: A question for Jim. I don't know if you've talked a bit about the exploration things. But could you just maybe summarize any couple of -- 2 or 3 things where you do expect an update in third or fourth quarter of this year on exploration side?
James C. Flores: Sure. On -- initially, the Lomond North and our plans for going forward on Lineham Creek, those 2 projects in ultra-deep will be involved in our decision-making process in the third and fourth quarter. Other than that, it's going to be our Holstein drilling as our rig becomes active on our platform, first time it's been active in about 10 years that we've got a lot of great projects to drill, so we'll begin drilling our deepwater projects in the fourth quarter of 2013. Then '14, you're looking at our Terra project. It's going to be drilled, so very high, high potential Lucius look-alike project. That's going to be drilled in second quarter of '14 to start off, as well as following up with additional projects like England and maybe Martinique. So we'll have a full schedule and calendar starting at '14 going forward of -- for our exciting exploration that we're leveraging into. But as far as the '13 is Lomond, Lineham Creek and then our Holstein development starting in the deepwater.
Paretosh Misra - Morgan Stanley, Research Division: And second and final question on Grasberg probably for Mark. Is there any total mill rate or the DOZ mill rate that you're targeting for the year-end 2013?
Mark J. Johnson: Yes, we'll be, in DOZ, we'll be up to 70,000 tons at the end of the year. The total mill rate will be 210, 220. We'll also be bringing up the Big Gossan. We'll likely begin to ramp up again. We took some of the resources from Big Gossan in the third quarter and allocated them to development crews and to the DOZ. So we'll be at the 210 to 220. 2014 will be roughly 225.
Operator: Your final question will come from the line of Carly Mattson with Goldman Sachs.
Carly Mattson - Goldman Sachs Group Inc., Research Division: Could you give a little more color on the commentary you made earlier about considering refinancing the balance sheet and the higher cost debt? And in particular, how -- talk to any updated views on how Freeport looks at potential decline from the BHP bonds?
Kathleen L. Quirk: Carly, this is Kathleen. That is a priority of ours. We've got just under $2 billion in debt that we can use equity callbacks for. And so we'll be looking to do that either with cash flow generated or asset sales or refinancing. But that debt will be our most economic debt to repay in the near term, so we're very focused on that. We've also got a series of securities within the assumed debt that have calls over the next few years, and so we'll be looking at that, and we're going to be opportunistic about that and looking at what makes sense economically. But it is an objective of ours over time to refinance the balance sheet into more of an investment-grade type of a balance sheet.
Carly Mattson - Goldman Sachs Group Inc., Research Division: And is there any -- is there a specific timing that we should be thinking about for at least the callback portion of the bonds?
Kathleen L. Quirk: We're going to be looking to do that just as soon as we can. We're looking at free cash flow generation, as well as some of these other initiatives that are underway.
Richard C. Adkerson: All right. We appreciate everybody's interest and participation, and we look forward to reporting success as we go forward this year.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation. You may now disconnect.